Operator: Greetings, and welcome to the USANA Health Sciences third quarter earnings call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Andrew Masuda, Director of Investor Relations. Thank you. You may begin.
Andrew Masuda: Thanks, Diego, and good morning, everyone. We appreciate you joining us to review our third quarter results. Today's conference call is being broadcast live via webcast and can be accessed directly from our website at ir.usana.com. Shortly following the call, a replay will be available on our website. As a reminder, during the course of this conference call, management will make forward-looking statements regarding future events or the future financial performance of our company. Those statements involve risks and uncertainties that could cause actual results to differ perhaps materially from the results projected in such forward-looking statements. Examples of these statements include those regarding our strategies and outlook for fiscal year 2025, uncertainty related to the economic and operating environment around the world and our operations and financial results. We caution you that these statements should be considered in conjunction with disclosures, including specific risk factors and financial data contained in our most recent filings with the SEC. I'm joined by our President and CEO, Jim Brown; our Chief Financial Officer, Doug Hekking; our Chief Commercial Officer, Brent Neidig; our Chief Operating Officer, Walter Noot; as well as other executives. Yesterday, after the market closed, we announced our third quarter results and posted our management commentary document on the company's website. We'll now hear brief remarks from Jim before opening the call for questions.
Jim Brown: Thank you, Andrew, and good morning, everyone. We continue to execute our comprehensive commercial strategy in the third quarter, which was highlighted by the global rollout of our enhanced compensation plan. While third quarter results were impacted by softer sales and Brand Partner productivity leading up to the Global Convention in August, we are in the initial stages of the full rollout, and I'd like to be clear in saying that I'm encouraged by recent activity we are seeing in the business. If you recall, we enhanced our compensation plan to ensure USANA is at the forefront of today's evolving and competitive landscape for entrepreneurs. Our commercial strategy includes an enhanced compensation plan, product innovation, updated and refreshed brand story and improved tools to assist with building a business. The enhanced compensation plan focuses on three key elements: share, grow and lead. This new framework is designed to help our Brand Partners to have greater success in building their sales organization with new Brand Partners and customers in a simple and explainable way. This is particularly relevant today as the desire to earn part-time supplementary income or to earn income on one's own terms is as high as it has ever been. Our recent changes have systematically addressed the most important features of a competitive compensation plan in this market: simplicity, early earnings potential and competitive pay for performance. We have simplified the plan, made it easier for new people to understand, act and share, improved the earnings capability of our new Brand Partners so that they have the potential to see success faster. And we've enhanced our pay-for-performance criteria, which will more greatly reward those who are doing more of the work. Simplicity and early success are key requirements of a younger demographic, and early indications are that this offering is resonating with that audience. We are encouraged by our Brand Partners' response to the enhancements and the recent lift we have seen in sales activity and leader productivity. We are seeing improvement across several key metrics, including engagement, as indicated by meeting attendance, Brand Partner attraction and customer acquisition, speed to earnings their first commission and general stickiness of Brand Partners and customers. Qualitatively, Brand Partners across the world are sharing how these new changes have brought renewed excitement, energy and success to their businesses. Our vision of Brand Partners being a focal point continues to resonate and build trust with these entrepreneurs as they have expressed improved confidence in sharing the opportunity. During the quarter, we reported an increase in inventories that can be attributed to, in great part, new product introductions to support our growth strategy, increased investments in location of our inventory to support tariff mitigation efforts and working capital investments in our venture companies, Hiya and Rise Bar. We have also begun the process of targeted in-house production for our venture companies. We believe our in-house manufacturing capabilities contribute to better margins, improved control of inventory levels and help to mitigate supply chain risk while providing a meaningful contribution to delivering the highest-quality nutritional products. Moving on to our other businesses. If you recall, these businesses provide USANA the ability to reach a broader demographic of health and wellness market while providing diversification and strengthening USANA's financial profile. Overall, we're encouraged by the year-to-date sales growth of these entities. I'll start by sharing an update on our direct-to-consumer business, Hiya. Although Hiya experienced some challenges in top line growth in the third quarter, the company has delivered 26% year-to-date sales growth, putting them on track to deliver another year of record sales. Notably, we have made significant progress on several integration initiatives. In the first half of the year, a large focus was placed on the implementation of a new ERP system and related controls to ensure that Hiya is fully operating as a subsidiary of a public company. There has been significant progress made that we believe will support the Hiya team moving forward. We have also been working on other areas that provide operational synergies. For example, during the quarter we assisted the team in the transition to a new logistics partner, which is anticipated to drive operational efficiency in the coming year. We also continue to leverage core competencies at USANA, including research and development activities, manufacturing and general operational expertise to support Hiya in the new product formulation, international expansion and cost savings opportunities. Another example, we anticipate to begin the manufacturing of Hiya products in-house over the next several months, which we anticipate will continue to improve margins in the late second quarter and back half of 2026. Altogether, we're pleased with the progress we've made on all these fronts and continue to expect Hiya to generate double-digit sales growth for the full 2025. The team has several exciting growth initiatives planned for next year, which we will address next quarter when we provide our initial outlook for fiscal 2026. Rise Bar, which was acquired in 2022, reported record third quarter net sales and year-to-date net sales have increased 169%. Although Rise Bar is still relatively small as a percentage of our sales portfolio, we're very pleased with the progress, including channel expansion and new product offerings that we believe will contribute to strong future sales heading into 2026. We are investing additional resources and working capital as well as leveraging USANA's operational expertise to capitalize on current momentum and to drive long-term growth and efficiencies. We believe there is meaningful growth opportunities in the health and food space over the next several years. As included in our third quarter earnings release, we reported that we have initiated and are executing a global cost reduction process, including a rightsizing of our workforce. This process will focus on prioritizing top strategic priorities while also targeting efficiencies that support a more agile and adaptable organization moving forward. We expect to incur an estimated onetime charge of $4.7 million in the fourth quarter, which has been reflected in our updated outlook. In closing, we remain confident that our comprehensive commercial team strategy will position USANA to drive long-term growth in our direct selling business and deliver long-term value for our customers and Brand Partners. Additionally, we are succeeding in our diversification strategy with the growth of Hiya in the children's health and wellness market and the growth of Rise in the healthy foods market. Together, these elements reinforce our positive outlook for the future and our commitment to create lasting value across our portfolio. With that, I'll now ask the operator to please open the line for questions.
Operator: [Operator Instructions] And our first question comes from Anthony Lebiedzinski with Sidoti & Company.
Anthony Lebiedzinski: So you have stated both in the release and this morning that you have seen a pickup in sales activity and leader productivity in recent weeks, which is encouraging. So can you just kind of walk us through maybe some -- share some additional details as far as the trajectory of your business trends as you went from July through August, September and maybe so far in October, if you could comment on that?
Brent Neidig: Sure, Anthony. It's Brent. We have seen some promising trends from our new compensation plan that was launched earlier in July. And I think primarily what we've seen is we've seen more engagement and excitement around the offering than we historically have seen over the last couple of years. So it's been quite promising from that perspective. As Jim mentioned in his notes, we're really trying to focus on the upfront earnings opportunity. We know that as soon as people can engage with USANA, as soon as they see success and that they can see that success sooner on, they're more likely to stay with us longer. And so that's what's really resonated with our field right now and our Brand Partners. And historically, that's somewhat been a challenge over the last couple of years. And as people's expectations have changed in today's marketplace, they've been looking for an easier upfront earnings opportunity, and we feel like we've delivered on that front. So it's still early. Yet what we've seen in September, now the first couple of weeks in October, all signs are pretty promising, especially from our more mature markets like the United States. We've seen some reengagement from some of our longer tenured Brand Partners, which is really encouraging to see.
Jim Brown: Yes. Just a further comment on that. During the quarter, we mentioned we didn't have the best quarter or it didn't meet our expectations. We did the kind of launch at the beginning of July of the compensation enhancement as well as some other stuff for our Brand Partners, and we saw a slowdown at that point in time where people were absorbing and not really getting into the business for a while. And then we've seen what Brent talked about. The pickup has really been after our Global Convention in August. So it really hit right at the end of August into September. So very promising signs, but again, early yet.
G. Hekking: Yes. And Anthony, this is Doug. Just for context, and we talked about a little bit of this in the prerelease. When you roll a lot of information out, as Jim said, it takes some time to process. So we anticipated a little bit of softness as they took time to digest and understand and have some more of these in-person meetings. And our convention served and that investment there, I think, served as well to be able to have some of those conversations. But we saw maybe a little bit softer than we anticipated and lasted a little bit longer. But as Jim and Brent both indicated, we're pleased by kind of the traction we have now. There's a lot of work to do, but we're definitely leaning into it and working on executing the plan.
Anthony Lebiedzinski: All right. That's very helpful context. And I guess that explains why the Americas and Europe region performed relatively better than some of your other regions, I guess, right, as far as looking at the percentage of your sales declines. Is that why? Because they're more mature of those markets?
G. Hekking: Well, no, I think -- we had the event. We had some sales at the event. The other thing that you have to recognize is because the Rise Bar has been a relatively small percentage of sales. And because it's been there, we indicate -- you can see in the tables that we include that in the Americas and Europe number. And so part of that contribution -- without a doubt, what Brent said is accurate. But part of that contribution is also from the pickup in performance at Rise Bar as well.
Anthony Lebiedzinski: Got it. Okay. And then can you just also talk about the incentives that you plan for the fourth quarter and whether some of those incentives may need to spill over into early '26? Or you think this is just a short-term one quarter event?
Brent Neidig: Yes. Anthony, we're going to continue to look for strategic opportunities to provide incentives for our Brand Partners. Specifically now, as we've just launched our new compensation offering, it's really important for all of our Brand Partners around the world to understand it, to feel excitement around that offering and to really get going working according to that plan. So I think it's been indicated already, but we do have some incentives planned for the fourth quarter which should help us land with where we're guiding in terms of revenue. And it certainly will spill over into Q1 of next year just like it always does. We're always looking for opportunities for promotions to incentivize our Brand Partners.
Anthony Lebiedzinski: Understood. Okay. And then just switching gears to Hiya. So as I look at the active customer count, that has declined. Can you talk about the reasons for that? And how confident are you that Hiya can get back to growth next year?
Walter Noot: Yes. This is Walter. Yes, we're very confident with Hiya. We've had some slowdowns. In the third quarter, we expected more pickup because typically, their business is all DTC and they do a lot of marketing through Meta. And Meta has changed algorithms and so we're trying to figure that out. And we've been through this multiple times with Hiya in the past so we expect that to bounce back. And as Hiya continues to grow through DTC and retail and international expansion, yes, we expect that to continue to grow.
Anthony Lebiedzinski: Got it. Okay. And then lastly for me before I pass it on to others. So in terms of just the rightsizing of your organization that you plan to do in the fourth quarter, how should we think about the level of annualized operating cost savings that you plan to achieve with this?
G. Hekking: Yes. Anthony, this is Doug. So we're very early in the process. And so one of the components, as Jim mentioned, the rightsizing of staff is part of it. There's far more to it than there. And so I think what we'll look to do because we still got a lot of work and analysis and progress to make, we'll look to comment on that in February more fully. But we definitely expect to go back and see some cost savings and kind of cost reduction as a part of this process. And we'll talk about that in more detail in February.
Operator: [Operator Instructions] And our next question comes from Susan Anderson with Canaccord Genuity.
Susan Anderson: I guess maybe just a follow-up on Hiya. It sounds like as you integrate it further, maybe there's some more efficiencies to be had there. Maybe if you could talk about that a little bit more, I don't know, if you could quantify it and the impact it's going to have to margins at all.
Walter Noot: Well, I won't give you all the details as far as -- this is Walter, by the way. I won't give you all the details on quantify. I think we'll have more information in February about that. But specifically, Hiya makes vitamins. That's their #1 product. They also do protein powders. And we have reformulated or formulated their products for our manufacturing process. We've got that ready. So we'll be making all of their vitamins here in-house, which we have all capabilities to do that. Also as far as operational efficiencies, there's just a lot. We're really good at operations as far as because of the size of our business, and so we're able to absorb a lot of support for supply chain. And they had a 3PL that they were using that we helped them move, transition to a different 3PL. And that reduced our cost by quite a bit and allowed them to be much more efficient.
Susan Anderson: Okay. Great. That's really helpful. And then maybe if you could just talk a little bit about just the industry in general. Are you seeing any, I guess, slowdown from consumers as it relates to either VMS or wellness purchases? Are they looking for more value maybe than what they were 6 months or a year ago? And I guess maybe if you could talk about it by region as well.
G. Hekking: Yes. Susan, to clarify, this is on the broader business, not specifically related to Hiya. Is that accurate?
Susan Anderson: Correct, yes, just in the industry in general.
Jim Brown: Yes. We're a part of some associations that help the industry in general. And quite honestly, the direct selling business has struggled over the past few years, probably since COVID. A lot of direct selling companies are basically enhancing their offerings, making it quicker and easier to earn modest income as well as share products. So we have seen that same struggle over that time period. But I think we're getting there when it comes to what we just offered in July through August of this year, and we're setting ourselves up for the future. Yes. And definitely, the product or the vitamin side of the business has struggled some. There is a lot of competition out there. And our biggest challenge is to make sure that we can easily show people our competitive offering. And again, our offering is a little bit different than some of the companies out there because of the direct selling industry. We offer fantastic products as well as an opportunity to earn. So that's one of the highlights when we go out there when we look at Hiya and Rise. And that information, I'll let Walter speak to that.
Walter Noot: Yes. Hiya is children's vitamins. And the children's vitamin market has been, I would say, there's quite a bit of competition there. But Hiya creates a complete -- a different experience for their customers. And because of that and because they're DTC and because they're all subscription, that business has actually been really, really good for us. And they've been able to take market share from other companies and I think they'll continue to do that. So for the Hiya side, it's been a really good. Rise is protein powders, bars, RTD, and that business is really, really good for us too, especially with the protein business in the U.S. You just see a huge uptick and huge demand for proteins, and we're capitalizing that with high with Rise. That's why we're seeing such growth.
G. Hekking: Yes. And Susan, a little bit more color on kind of just the broader category and what we're seeing with the consumers. We also play in a space where we have what I believe to be the best quality product out there. And one of the commercial team's strategy is get better and better and better at articulating that story so they really understand the value proposition. We're not a commodity-type product. That's not a place we're going to play. And we're going to continue to differentiate what we're offering and we're going to make sure that we convey that story so consumers understand the differentiation of our products.
Susan Anderson: Okay. Great. And then I guess maybe if you could just talk about if you think there's opportunity -- Hiya has been pretty successful. The DTC business seem to be doing better. I mean, is there an opportunity, you think, to maybe buy a couple more DTC businesses maybe to tack on to that? Or how are you thinking about kind of like your future strategy?
Jim Brown: Yes. This is Jim. You're definitely hitting it. Our future strategy is diversification. We're committed to the direct selling channel. We're going to continue to work on making that grow and be a big engine. As we get cash through our business, we are going to look at other opportunities in M&A or opportunities within the companies that they're there to actually expand within. So yes, that is part of our strategy. I think diversification will make a stronger USANA and we'll continue down that path. And even if you look at where we've been with direct sales and getting modest growth there just over time with the growth rates of both Hiya and Rise been, we'll see a shift in our overall portfolio of getting more omni-channel and more diversified.
G. Hekking: Yes. I would also say kind of given the recent announcement during the fourth quarter, as we look to pivot to be more agile and adaptable and work on some of these cost reductions from a capital allocation priority in the near term, it will be investing in the commercial strategy as the top priority and, as Jim mentioned, kind of our venture companies because we see really good opportunity in both Hiya and Rise. And we continue to evaluate different opportunities. But those, without a doubt, will be our priorities from a capital allocation.
Operator: And there are no further questions at this time, so I'll hand the floor back to Andrew Masuda for closing remarks -- actually, one question just popped in. And that question comes from Ivan Feinseth with Tigress Financial Partners.
Ivan Feinseth: I have a few questions. As far as now, I see your strategy is to delineate between direct-to-consumer and still your sales marketing channel. But as an example, there's still a lot of confusion about supplements that I feel that your adviser channel can help. Like everybody is saying the #1 supplement that you should take is magnesium. But there's just tons of different formulations. You should take magnesium formulated with different amino acids or different formulations at night versus the morning. How do you feel your product line could meet some of those demands and that your adviser channel could help consumers better understand that?
Kathryn Armstrong: Ivan, it's Kathryn. I think the data on magnesium is interesting and still, as we've discussed, a little confusing, right? So when we look at the clinical data and sort of who has been pushing the clinicals and what types of forms have been studied and whether or not there's been a lot of A/B testing of them versus each other, the data there is not consistent and solid. I think in alignment with USANA's core values, right, we are always prioritizing science and ensuring that our customers and Brand Partners have the best possible options. So we continue to look at different magnesium blends as well as all of the different elements that are important for human health. And we'll continue to look at that and to ensure that the research that's being vetted is being vetted objectively.
Ivan Feinseth: And then how do you feel that RFK's Make America Healthy initiative is helping you to create some sales opportunity, getting more people interested in the need for supplements? How are you kind of capitalizing on that both direct-to-consumer and to your sales channels?
Jim Brown: Yes. Ivan, this is Jim. I think, in general, we appreciate any direction that shows that vitamins and supplements are very important for people around the world. I mean, even if we look in at some of our other markets, there's initiatives from the government standpoint that we can attach to and educate and give people great offerings to meet the needs. We talked about this for years. Our diets really aren't hitting the mark and that's why supplements are so important. And I think, over time, people are getting more and more educated and understand that, and that just helps USANA and it helps the whole industry in general. Like Doug had said a minute ago, the thing that we supply is the best vitamins in the world and we'll continue to do that. We'll always look to see what our customers and Brand Partners need and make additions or adaptations to what we're offering. But I mean, any time you have the government or even other agencies talk about how supplements are needed for your overall balance and diet, it's just a benefit to us. And it -- go ahead, Ivan. Sorry.
Ivan Feinseth: For a long time, the government has kind of been a headwind to the supplement industry, and now it really looks like it's going to be a tremendous tailwind led by the Make America Healthy initiative.
Jim Brown: Yes, I agree with that. And again, that's just fantastic for the industry. And we've believed that all along. We've been in business 30 years. I can only imagine, I've been with the company right at 20, how difficult it was at the beginning when vitamins were really not looked at positively or there was just no information about it. And our Founder, Dr. Wentz, made the decision to move forward and give us the best product line out there. So yes, again, we'll go along with what's out there, and it's especially helpful when it's positive to the industry.
Operator: Thank you. That was our last question. So I'll now hand the floor to Andrew Masuda to close. Thank you.
Andrew Masuda: Thanks, Diego, and thank you all for your questions and participation on today's conference call. If you have any remaining questions, please feel free to contact Investor Relations at (801) 954-7210.
Operator: Thank you. And with that, we conclude today's call. All parties may disconnect. Have a good day.